Operator: Good morning, everyone, and welcome to the Waste Connections, Inc. Q1 2024 Earnings Conference Call. [Operator Instructions] Please also note today's event is being recorded. At this time, I'd like to turn the floor over to Ron Mittelstaedt, President and CEO. Please go ahead. 
Ronald Mittelstaedt: Okay. Thank you, operator, and good morning. I would like to welcome everyone to this conference call to discuss our first quarter results and to provide a detailed outlook for the second quarter. I'm joined this morning by Mary Anne Whitney, our CFO, and several other members of our senior management. We are extremely pleased by the strong start to the year, driving better-than-expected operating and financial results, which, along with recently completed acquisitions, positions us well for the remainder of 2024. Adjusted EBITDA margin expansion of 160 basis points to 31.4% in the seasonally weakest quarter of the year puts us on track to exceed our industry-leading full year margin outlook of 32.7%, as continuing improvements in employee retention and safety trends, along with rising commodity values, provide momentum for continued performance. 
 Before we get into much more detail, let me turn the call over to Mary Anne for our forward-looking disclaimer as well as other housekeeping items. 
Mary Whitney: Thank you, Ron, and good morning. The discussion during today's call includes forward-looking statements made pursuant to the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, including forward-looking information within the meaning of applicable Canadian securities laws. Actual results could differ materially from those made in such forward-looking statements due to various risks and uncertainties. Factors that could cause actual results to differ are discussed both in the cautionary statement included in our April 24 earnings release and in greater detail in Waste Connections filings with the U.S. Securities and Exchange Commission and the securities commissions or similar regulatory authorities in Canada. You should not place undue reliance on forward-looking statements as there may be additional risks of which we are not presently aware or that we currently believe are immaterial, which could have an adverse impact on our business. We make no commitment to revise or update any forward-looking statements in order to reflect events or circumstances that may change after today's date. 
 On the call, we will discuss non-GAAP measures such as adjusted EBITDA, adjusted net income attributable to Waste Connections on both the dollar basis and per diluted share and adjusted free cash flow. Please refer to our earnings releases for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. Management uses certain non-GAAP measures to evaluate and monitor the ongoing financial performance of our operations. Other companies may calculate these non-GAAP measures differently. I will now turn the call back over to Ron. 
Ronald Mittelstaedt: Okay. Thank you, Mary Anne. As noted earlier, we're off to a great start in 2024 by any number of measures, beginning with our financial results. Already set up for industry-leading outsized margin expansion during the year, we delivered a top to bottom beat in the quarter with adjusted EBITDA margin 20 basis points above our outlook and momentum for continued outperformance from a number of drivers, and this was all achieved in spite of significant weather impacts in January and early March. 
 Along with better-than-expected financial results, we saw continued improvement in trends for employee retention and most importantly, safety. In Q1, voluntary turnover once again stepped down sequentially, making the sixth consecutive quarter of improvement to levels, which are now 30% below the peaks we saw in late '22.  
 Similarly, we saw continued improvement in safety, with incidence rates declining for the seventh consecutive month. In fact, during Q1, we achieved some of our best safety performance in years, with monthly incidents down to 3-year lows, in spite of outsized growth from acquisitions during that period. We believe these results reflect our commitment to a culture of accountability with an empowered and engaged employees.  
 To that end, we're excited about the steps we've taken to support employee growth and development with expanded training, including through our in-house driver academies, the second of which will open this summer, and our diesel technician school partnership offering. We expect that these internal efforts will augment the improving dynamics we've seen in employee recruiting, resulting from additional resources and targeted efforts.  
 As noted previously, the progress in retention and safety we're seeing today positions us to unlock future benefits from improving costs and risk management, along with continued and expected growing savings across several areas, including labor, maintenance and third-party services, all of which we are seeing in the financials today.  
 Moving back to our financial results, starting with organic solid waste growth. In the first quarter, we delivered solid waste core pricing of 7.8%. And to be clear, our core price is what we actually retained, not what was implemented, which in other models get reduced by churn to calculate yield. Our price retention was in line with our expectations and continues to reflect the resilience of our market model.  
 Similarly, reported volume growth of negative 3.8% was in line with our expectations following extreme weather events, primarily during January, which we believe impacted reported volumes by about 100 basis points beyond what we would consider typical levels of ongoing purposeful shedding.  
 Looking ahead to Q2, we would expect a sequential step-up in reported volumes of about 100 basis points, assuming a typical seasonal ramp on activity. And as a reminder on volume calculations, our reported volumes are strictly solid waste volume changes, not RNG, E&P, recycled commodities or acquisitions until after we've owned them for 12 months. Companies calculate volumes differently, and they may view them differently.  
 As discussed in previous quarters, our outsized growth over the past few years has created the opportunity for improving revenue quality and otherwise rightsizing newly acquired locations. Depending on the market, purposeful shedding and contract nonrenewals may provide multiyear tailwinds for margin expansion, along with improvements in asset utilization and operating efficiencies.  We look forward to similar opportunities from acquisitions that fit our strategy and meet our financial criteria as we maintain our focus on long-term value creation. We continue to see high levels of seller interest and have a robust pipeline of solid waste opportunities across our regional footprint.  
 As noted, acquisition activity has already contributed to our strong start to the year with approximately $375 million in annualized revenue completed to date. In addition to the secure energy divestitures we acquired in February, we've completed acquisitions of over $150 million in annualized solid waste revenue, including a new market entry providing services to customers in Indiana and Southern Michigan.  
 The strength of our financial position and free cash flow generation provide flexibility for continued acquisition outlays in 2024 for what could be one of our busiest years ever, along with continuing to increase our capital to shareholders.  
 Beyond M&A, we continue to make progress on our development of multiple renewable gas, or RNG facilities, 3 of which are scheduled to be operational this year. In spite of industry-wide delays related to equipment and utility installations, we continue to anticipate an incremental $200 million of annual EBITDA beginning in 2026 from the projects in development on a commensurate capital outlay. As noted previously, $150 million of that CapEx will be deployed in 2024 and has been factored into our full year free cash flow outlook.  
 Now I'd like to pass the call to Mary Anne to review more in depth the financial highlights of the first quarter and provide a detailed outlook for Q2. I will then wrap up before heading into Q&A. 
Mary Whitney: Thank you, Ron. In the first quarter, revenue of $2.073 billion was about $23 million above our outlook due primarily to incremental acquisition contributions and higher recovered commodity values. Revenue on a reported basis was up $172 million or 9.1% year-over-year.  
 Acquisitions completed since the year ago period contributed about $81 million of revenue in the quarter or about $78 million, net of divestitures.  
 Solid waste organic growth was led by 7.8% core price, which ranged from over 5% in our mostly exclusive market Western region to up to 9% in our competitive markets.  
 Total price of 7.1% reflected a reduction of about 70 basis points in fuel and material surcharges, primarily related to lower fuel rates. We have high visibility for full year 2024 total price in the range of 6% to 7%, with 75% of our core price either already in place or specified by contract, as is pretty typical for us by this point in the year.  
 Solid waste volume losses of 3.8% in Q1 include about 1% from January storm-related closures and other weather impacts that resulted in volume losses to varying degrees across all of our geographic regions beyond the ongoing purposeful shedding and price volume trade-off.  
 Looking at year-over-year results in the first quarter on a same-store basis. Daily roll-off pulls were down 3% driven by outside declines in our most weather-impacted markets in our Mid-South and Eastern regions. And daily landfill tons were down 6% on lower special waste activity and C&D tons, both of which were down about 15%, while MSW tons were flat, in spite of the weather impact noted.  
 Looking at special waste and C&D. The year-over-year slowdown in Q1 was widespread, but most notable in our Central region and Canada, both of which benefited from outsized activity in prior year periods. We saw improving trends in both roll-off pulls and MSW tons during the quarter, beginning with January activity down high single digits due to severe weather and ending with March about flat or up nominally on a year-over-year basis.  And in our Western region, the best barometer of underlying activity given the nature of franchises, reported volumes were positive in Q1, in spite of the weather impacts in January.  
 Beyond solid waste, revenues played out slightly better than expected in Q1, with recycled commodities, landfill gas and renewable energy credits, or RINs, collectively up about 50% year-over-year on recycled commodity values up around 15% from earlier this year. Prices for OCC, or old corrugated containers, averaged about $130 per ton in Q1. And RINs averaged about $3.10.  
 Adjusted EBITDA for Q1, as reconciled in our earnings release, was $650.7 million, up 14.8% year-over-year and about $10 million above our outlook. At 31.4% of revenue, our adjusted EBITDA margin was up 160 basis points year-over-year and 20 basis points above our outlook.  
 These results include an estimated 40 basis point margin drag related primarily to the extreme weather-related impacts noted. Therefore, on a normalized basis, margins were up 200 basis points year-over-year.  
 Net interest expense in the quarter increased by $10.8 million over the prior year period to $76.4 million due to higher outstanding debt and increased interest rates as compared to the prior year period. During Q1, we completed a public offering of $750 million of senior notes, with proceeds directed to floating rate debt repayment, reducing borrowing cost by over 100 basis points.  
 Our current weighted average cost of debt is approximately 4.15% with an average tenor of over 10 years. We ended the quarter with debt outstanding of about $7.9 billion, about 19% of which was floating rate, liquidity of approximately $830 million and our leverage ratio as defined in our credit agreement was about 2.8x debt to EBITDA.  
 Our effective tax rate for the first quarter was just under 21%. The Q1 rate, as expected, included a benefit to the provision related to excess tax benefits associated with equity-based compensation. In addition, it reflected the impact of an investment tax credit associated with an RNG facility expected to begin service during the year, which has about a 70 basis point benefit to our effective tax rate for 2024.  And finally, adjusted free cash flow of approximately $325 million was in line with our expectations and our full year outlook of $1.2 billion as provided in February.  
 I will now review our outlook for the second quarter of 2024. Before I do, we'd like to remind everyone once again that actual results may vary significantly based on risks and uncertainties outlined in our safe harbor statement and filings we've made with the SEC and the securities commissions or similar regulatory authorities in Canada. We encourage investors to review these factors carefully.  
 Our outlook assumes no significant change in underlying economic trends. It also excludes any impact from additional acquisitions that may close during the remainder of the year and expensing of transaction-related items during the period.  
 Revenue in Q2 is estimated to be in the range of $2.2 billion to $2.225 billion. This includes solid waste price plus volume growth of approximately 4% from total price of 6.5% to 7%, on core price of 7% to 7.5% and volume down 2.5% to 3%.  Adjusted EBITDA margin in Q2 is estimated at approximately 32.5%, up 140 basis points year-over-year. Depreciation and amortization expense for the second quarter is estimated at approximately 12.8% of revenue, including amortization of intangibles of about $44 million or $0.13 per diluted share net of taxes. Interest expense and net interest income is estimated at approximately $82 million for the second quarter. And finally, our effective tax rate in Q2 is estimated at about 23.5%, subject to some variability.  
 And now let me turn the call back over to Ron for some final remarks before Q&A. 
Ronald Mittelstaedt: Thank you, Mary Anne. When I returned to the seat 1 year ago this week, I emphasize the importance of the decentralized operating model and culture of accountability that has served to drive differentiated results since our beginnings as a company.  
 Reflecting on the progress that has been achieved over the past 12 months, I could not be prouder of our local teams. Although we've added to the playbook and made some organizational changes, we've mostly reinforced our vision and values and, as we say, doubling down on human capital. And you've seen the results in our most important operating value. As reported in March, the lowest number of safety incidents that we've seen for 3 years, in spite of adding over 3,000 employees during that same period.  
 So I want to conclude by thanking our 23,000 employees who put safety first every day and whose commitment to accountability is evident in not only what they say, but what they do, as demonstrated by delivering such a strong start to 2024.  
 With solid waste pricing largely in place, improving operating trends, higher commodity values and the benefit of what could be a record year of M&A, we are well positioned. That all said, we believe it's appropriate as in the prior years to wait until our Q2 earnings release to consider updating our outlook for the full year.  
 We appreciate your time today, and I will now turn this call over to the operator to open up the lines for your questions. Operator? 
Operator: [Operator Instructions] And our first question today comes from Tyler Brown from Raymond James. 
Patrick Brown: Obviously, margins are up 160 basis points. I mean, a great start to the year, particularly given the drag from weather. But I was just hoping we could get a little bit more detail maybe on some of the puts and takes in the quarter, because I do assume the maybe fuel, recycling, M&A were all slight tailwinds, but just any additional color would be helpful. 
Mary Whitney: Sure, Tyler. So the way we think about it, as we said in the remarks, think of it as 200 basis points, excluding those outsized impacts from weather, which resulted in lower volumes. So when I think about those 200 basis points, I'd split it into 2 large buckets, 1 being commodity-driven, recycling and RINs being combined close to about 100 basis points. And the remainder, the rest of the business, so that's really primarily underlying solid waste.  You do -- E&P was a good guy. Acquisitions are accretive. And so in the aggregate, that's another 100 basis points. And within there, you're seeing the benefits of that price/cost spread and the improving trends on the operating side.  
 For instance, when you look within wages where we had said we've been looking at same employee increases that last year went from 8% to about 6%, you're down sub 6%, between 5.5% and 6% in Q1. So an example of where you're seeing that leverage from price cost. And then similarly, on some of those third-party costs as we bring down turnover and improve safety. 
Patrick Brown: Yes. Excellent. Okay. Yes, very core level, good improvement. Ron, I'm sure there's going to be some additional questions about this, but maybe I'll just kind of kick it off, the discussion about it.  
 But obviously, the U.S. government EPA made some changes on the regulatory side on PFAS in the last couple of weeks. And I was just hoping you could give us some high-level thoughts about that broadly, what it means for Waste Connections.  
 But specifically, I was wondering to get your thoughts on what this may mean for landfill leachate cost just in the near to intermediate term and what are the prospects to recoup any additional costs, whether it be operating or capital costs. 
Ronald Mittelstaedt: Sure. Well, first off, Tyler, let me say that I think what transpired with the legislation was effectively totally as expected, number one. This is not some surprise to us or to the greater industry by any means.  
 Number two, I think step back. Traditionally, and we can point to several examples of this, but traditionally, uniform new incremental federal regulation such as this is very good in both the short and long term for the well-capitalized public companies. It has -- it creates a uniform playing field. It creates a playing field where those with the access to capital and the infrastructure to take advantage of it are able to do so. And it creates a price opportunity that generally quite exceeds the cost to comply, both operating and capital wise. It also traditionally has created sort of an M&A catalyst. So I don't think the public companies in any way are concerned or fear this change in federal regulation.  
 The other thing I would tell you is there's a lot of activity going on within the legislature and particularly, of course, at the staff level that things get passed and then really the work begins of amending and modifying that regulation.  And I think from everything we're hearing, there will be changes to the regulation or really a codification of the regulation further that gives the intended -- the intention of the regulation, which was not sort of be punitive to passive receivers such as landfills, okay?  Landfill is a passive receiver. It's taking this material as required by law and permit on behalf of the producers and the consumers of it. This legislation is really targeted if there's a word at producers of the material, not passive receivers.  
 So I think you're going to see the language of the law amended and changed to reflect more of that. So this is -- so as I said -- and I think the EPA has been very clear that they've said that it is not meant to create liability for those that are passive receivers. And that's what our landfills are.  
 So a long-winded answer to you, Tyler, but the devil is ultimately in the details of how this gets implemented. We're still a ways from that. Look, there are relatively low-cost capital opportunities for treatment such as foam fractionation and others for PFAS that we are doing already proactively at several of our landfills over the last 1.5 years to 2 in anticipation of this. So we have a good idea of what works and what may not.  
 And what I would tell you is it's not going to really move the needle, I don't think, for the industry on the capital cost and it will present an incremental pricing cost to price through it and recover it, at least I can speak for us on that.  
 As far as the cost of leachate, again, if you go with the capital -- if you go with a low-cost capital costs and do some on-site treatment, Tyler, it won't change the cost of leachate. Now there are some POTWs that may not opt to take it, even treated for just fear and -- but in most markets, there are options.   
 If that does raise the cost of leachate, again, that will be a local pricing opportunity through that customer base where there are less options. So I mean, it's a long-winded answer, but I think that's how we holistically think about this. 
Patrick Brown: Yes. No, perfect. Extremely good color. Very much appreciate it. One quick housekeeping. Mary Anne, what is the -- based on what we know today, what's the M&A benefit to '24 revenue based on what we know as of right now? 
Mary Whitney: So when I think about the incremental deal activity that was done, that would add $80 million to $90 million for the full year on top of what we already had, which I think was $325 million. 
Operator: And our next question comes from Sabahat Khan from RBC Capital Markets. 
Sabahat Khan: Just on the Q2 guidance that you provided around volume being down 2.5% to 3%, I was just hoping if you can maybe detail that out a little bit in terms of shedding versus some of the other factors, please. 
Ronald Mittelstaedt: Yes. So I would say, if anything, what I think you should read into that is it suggests more margin opportunity and really reflects sort of an increased amount of M&A over the -- certainly already at the start of this year and the second half of last year. So I would tell you that, that's probably about 50 basis points more of the increase, which is basically all of that based on the guidance. 
 And what we would expect you to see is roughly a 50 to 75 basis point incremental continuous improvement throughout this year, 100 basis points just on weather, as we said, Q1 to Q2, and then continuing Q2 to 3, 3 to 4 stepping up another 50 to 75 basis points per quarter. Again, that can change a little bit due to incremental shedding, but that's really the delta. 
Sabahat Khan: Okay. Great. And then maybe just continuing the margin discussion from the last question. I think we're looking at another, I think, 100-plus bps of margin improvement in Q2. It seems like the Q1 margin improvement was split between kind of core business and recycling RINs, et cetera.  
 Maybe just walk us through kind of the confidence around that 120 bps in Q2. What is that coming from, maybe the split there? And how much of a tailwind from sort of commodities and RINs are you baking into that improvement into the next quarter? 
Mary Whitney: Sure. So the way to think about it is that the greatest margin contribution from recycled commodities and RINs would be in the first quarter would decrease over the course of the year, all of the things being equal, just because the comparisons get tougher, right?  Because you had commodities ramp last year. And so if, by way of example, you started with 100 in Q1, you could see that stepping down to 60 or 50 basis points in Q2. So that really tells you that the tailwinds are coming from the underlying business, and that is growing.  
 And as we said, coming into the year, we had talked about that outsized opportunity between that price cost spread that I described we're already seeing in Q1, and we expect that to continue, and also the operating leverage we're getting from those improving dynamics around retention and turnover where we've said that we'd see it in a number of different areas.  
 And as we've indicated, we're starting to see that, whether it's the relationship between overtime and straight time, even if we have more heads in place, that's seeing overall improvement and the reduction or the slower growth in third-party costs providing some more margin expansion on things like outside repairs.  
 So those are the types of dynamics that would contribute to a growing operating leverage as we move through the year, and that's what gives us the conviction for Q2 is that we're already seeing it in the numbers, in our operating statistics. And we know that the dynamic is that the savings follow after you see those quarter after quarter of improvement. 
Ronald Mittelstaedt: And one other thing I would note just -- you didn't ask it, but just to get it even more granular. As you know, we closed the secure E&P transaction in the first quarter, and we noted that it is margin accretive for the full year.  I would note that different than our solid waste business, Q2 is actually the lowest seasonal quarter for revenue, EBITDA and margin in that business due to the thaw breakup period that goes on in Canada from April through mid-June.  
 So unlike our solid waste business, where Q1 is the seasonally weakest quarter. In that business, Q2 is comfortably the seasonally weakest quarter. So the point being, that is not what is driving margins in Q2. It is our underlying solid waste business. 
Sabahat Khan: Got it. That's super helpful. And maybe just a quick follow-up, Ron, around your answer in the earlier question about the new PFAS regulation potentially adding to the M&A opportunity set. Presumably, this is going to take a while to play out. But maybe from a philosophical perspective, how big of an addition could that be to the M&A set in terms of how many more folks could come to market? And over what period of time do you think that plays out in terms of the benefit to the larger acquirers? 
Ronald Mittelstaedt: Yes. Well, number one, I would tell you, it is too early to understanding and all that. I think it depends on ultimately what the regulation is and how private folks depends -- decide, excuse me, to comply with it. Obviously, it has the most effect on disposal-related assets directly. And of course, there are far less of those today than there were in previous cycles of incremental federal regulation change. But without question, it has traditionally been a macro driver. It does take time for that to happen. So it's not something that's going to be a '24 or maybe even an early '25 thing. But over time, it does -- it tends to drive M&A. 
Operator: Our next question comes from Michael Hoffman from Stifel. 
Michael Hoffman: Ron, how would you think about where open positions are versus year-over-year? And then sort of second to that is at the point you get fully loaded with your in-house training, how do you feel about how -- what the proportion of your fill rate will be driven by the things you actually own and control in the training? 
Ronald Mittelstaedt: Okay. So Michael, we have historically meaningful, let's just call it, 15, 20 years through various cycles. We've always targeted running the company at about a 3.5% to 4% open head count at all times given through some natural attrition and then, of course, involuntary turnover that we're being proactive on.  
 At our worst time, as we came through into '22 and '23, we actually peaked at approaching 7.5% open headcount positions. We have reduced that throughout '23 to present to where we are now down right to about 4%, maybe even 3.9% on a run rate basis. So we're really at where we have historically run. We have a few regions that are down in the 2.5% level, and we're very comfortable with that.  So we've reduced open headcounts year-over-year to date by 46%. That is the number. We've reduced voluntary turnover by -- we're at peaked. We are now down to about 15.7% as of April 1, with a target of getting to between 10% and 12% by year-end and entering '25. So we're well more than halfway to our target from where we were 12 months ago.  
 Now to the second part of your question, I would say that our objective, as we come through what we believe will be mid-'25, so call it a year this summer, our objective is to get to sort of 1/3 or more of those that we hire coming through our in-house -- what I'll call our in-house development and academies. That would be the target. Now it could be more beyond that, but that's our target, 1 in 3 of getting to that. 
Michael Hoffman: Okay. That's terrific. And then everybody is going to wring their hands about PFAS for a while until this all plays itself out. But putting it in perspective, leachate costs are 1% to 2% of revenues It's not 5% to 10%? 
Ronald Mittelstaedt: No. It's actually even lower, Michael. 1% is a fair average. It actually is just below. 
Michael Hoffman: Okay. And the treatment technologies that you mentioned, I mean, we're 15 billion to 20 billion gallons a year of leachate as an industry. It's $0.05 to $0.20 a gallon is the range. But the treatment technologies are inside that range. So it's not like you're quadrupling or whatever, if you had to add those technologies to pretreat and take the PFAS out before managing. 
Ronald Mittelstaedt: No. I mean, Michael, I mean, as you know, there's great variability in the size of landfills and the amount of leachate based on how old they are and how much waste mass is in place. And of course, what the weather conditions are in that geography. But you're talking about $1 million to $4 million for the capital cost to do treatment of most landfills in the U.S., and that will then lower the leachate cost to what it is today. 
Michael Hoffman: Got it. Okay. And then my understanding, the Senate had a meeting about a month ago that proactively -- the Environmental Public Works Committee proactively sought to discuss what that intervention language should look like with a real objective of trying to get something passed in 2024. Are you hearing anything different than that? 
Ronald Mittelstaedt: I have heard the same thing through industry association council and lobbyists, but I do not have any better information than that, Michael. 
Operator: Our next question comes from Kevin Chiang from CIBC. 
Kevin Chiang: Congrats on a good quarter here and start to the year. Maybe if I could just start with the margin outperformance. If I look at your full year guide, which I know you haven't updated at this point in time, so you're 120 basis points.  
 If I think back to how we thought that would play through the year, maybe a little bit outperformance in H1, maybe a little bit below the 120 in H2, but broadly speaking, pretty even throughout. Just given the outperformance in H1, should we think about outperformance carrying through H2? I know you're not officially updating your guide, but anything -- I guess, anything you push back on that kind of simple math, just given the H1 performance so far? 
Mary Whitney: Sure. So just to -- just reiterate or underscore what you've talked about in terms of what expectations we laid out for the year, you're right. We said that it was pretty evenly distributed with our expectation for that 120 basis points margin expansion.  
 We also said, as I mentioned earlier, that the contribution from recycled commodities and RINs would be greater in the first half and abate over the course of the year. So I'd just be mindful of the fact that, as we've noted, some of the benefit in Q1 was from commodities. And so the expectation would have to be that if you're marking to market here, then you continue to have that benefit.  
 The other thing to keep in mind is some of our outside performance on the top line was M&A. And so as we continue to do M&A, which is typically a little dilutive, if it's the typical collection company, we want -- you'd want to factor that into your expectations, which is why as we think about it, updating in July is we're considering taking a look at that in July, as we always do, feels appropriate given all those dynamics. 
Kevin Chiang: Okay. That's helpful. And maybe to my second question, and maybe it's a bigger picture question on some of the in-house development you're doing, and you talked about a target of 1/3.  And I'm not sure if you have enough granularity on this, but I'd be interested in knowing -- I suspect you're pulling a lot of people or people move back and forth between was it working for the broader transportation sector, so truck drivers and maintenance workers in that field versus those that might enter the waste sector.  
 We're in the midst of a very long freight recession here, so I suspect that's a tailwind for people that are looking to join your firm. I guess, as you think about that freight recession eventually exiting, just how much volatility do you think that adds to, I guess, your in-house development? Like do you think it ends up being pretty steady through a freight cycle just because you offer a different work like balance? Or do you think it becomes more challenging if the freight economy starts to really move up here and compensation for long-haul trucking becomes a little bit more favorable than it is today? 
Ronald Mittelstaedt: Yes. Well, so let's take a step back, Kevin. I'll answer it in a little bit different way, but I think it will get to what you're asking. So traditionally, for us, and I would say most of the industry, remember, our largest 2 employee bases are, of course, CDL drivers and diesel technician or mechanics. When we have had as a company and an industry and opening for that, we have sought to pursue somebody who is a CDL driver or somebody who is a certified diesel technician, which means that we either have to find them unemployed or we have to find -- we have to steal them from another employer usually by a better compensation and/or structure for them.  That in a tight economy is a vicious cycle. 
 What we are doing by opening these academies that we are doing is we are actually pursuing a different type of employee. This is an employee who we are upskilling quite dramatically from where they are. So we are not bringing in somebody who has a CDL into our CDL driving academies. We are not bringing someone into our diesel technician partnership school for somebody that has a maintenance background. So this is a longer approach. It is a dynamic positive change to the impact of that type of employee. It is often an employee who has been with us for a period of time, so we know their character that we are making an investment in.  
 We're also doing it from people on the outside. So an example would be, instead of hiring somebody with a CDL and taking them from another waste company or a trucking company, we're hiring someone who's been with Home Depot for 2 years as a forklift operator that has a great track record and safety culture, but it's another $10 an hour opportunity if we can get them their CDL, and it totally changes their life and I'd say the commitment to us. So that's why it won't be 100%, to my response to Michael Hoffman, but I think it will ultimately be 1/3. So I'm less concerned as we go into a tight economy, if and when we do, which, of course, we will, with us having this approach to help buffer that. It's another reason we're actually doing it. 
Operator: Our next question comes from Noah Kaye from Oppenheimer. 
Noah Kaye: Ron, we talked last quarter about the $5 billion or so now fitting the market model for M&A and the internalization opportunities around the Northeast. I guess, just given your comments around this year potentially being one of the busiest ever and a recognition of what you've done already, just wondering if we could get some more color either around the regional mix that you see those opportunities and/or the kind of the profile of the types of acquisitions you're looking at. 
Ronald Mittelstaedt: Sure. Well, I would say, first off, Noah, that there is -- we've got opportunities in all of our solid waste regions. We have 5 regions in the U.S. and 1 in Canada, as you know. And we have active LOIs signed and discussions going in all of those regions. They are all what, I would consider, our traditional solid waste companies, collection companies, integrated companies, companies with transfer stations, et cetera.  
 So I'm not necessarily saying there's an incremental weighting to some geography or the other. It's probably a little bit more in our competitive footprint right now. Of course, our competitive footprint is a little larger. Franchise transactions and the exclusive models take a little longer, although we have several signed as well. So it's pretty balanced, which is what gives us the confidence to say that we have an opportunity, perhaps a record year, other than the year we did a public merger.  
 So -- and this is, as I said, all core key solid waste business. Certainly, we're focused on improving our utilization of our Arrowhead asset and incremental tonnage through that asset that we acquired in August of '23. And there are definitely transactions that will boost that. So that -- but those can come from sort of the mid-South all the way up through the Eastern seaboard. So it's -- we have a busy plate, a lot going on. And I think over the next couple of quarters, hopefully, some of that will become clear for everyone. 
Noah Kaye: And I was just reflecting on your comments to start the call about where you and the business sit a year later since you're coming back. And I guess, the question is too certain to declare victory, but you've made a lot of progress already on things like employee retention and turnover reduction. Where are your incremental focus areas at this point for operational improvement within the business? 
Ronald Mittelstaedt: Well, first off, thank you. I would say all our teams, our local teams and our regions have made the improvements. We just get to talk about them.  
 But look, we're going to continue doing -- when I first got back, I said, I think, on this call 1 year ago this week, if you're going to follow one thing, follow turnover because it drives everything. It drives incremental improvement in cost. It drives safety. It drives customer satisfaction. It drives our ability to pursue incremental volumes of all types that we otherwise might not be able to, if headcount is too open.  
 So it will help us get better across the board. So that's going to continue to be a huge focus and continuing to maintain and drive down, particularly voluntary turnover. So that's a focus. We have a huge focus on risk. As you know, we've always had a huge focus on price. That's not going to change.  
 And as we continue to get, I'll call it, healthier in how we're performing, both operating wise and financially, then we've got the ability to step on the pedal on growth, both organically and inorganically. And I would tell you that a year ago, we really couldn't afford to do that because we were just trying to get through the quarters with the amount of open positions, et cetera, and that just puts strain on the entire organization at every level.  
 So the focus isn't going to change, other than I think you'll continue to see us have more opportunity for growth. We've got -- we don't talk about it. That's not our style. We've got all kinds of different things we're working on, utilization of AI in a number of different areas. But we don't come out and put benchmarks to that. We'll let the margin talk about that when we complete them. So certainly, we have room for technology improvement in our operating platform over the next several years. 
Operator: Our next question comes from Bryan Burgmeier from Citi. 
Bryan Burgmeier: Ron, I know it's only been 3 months since you've closed the SECURE acquisition. But I think in the last call, you mentioned the company is running about 22 of the 29 acquired facilities, and some of them maybe come back online this year. Is there any update there? I guess, I'm just curious what exactly is being assumed in guidance now. And if it's too soon to say, I totally understand. Maybe that's a better item for July or October. 
Ronald Mittelstaedt: Yes. Okay. Well, thanks, Bryan. So number one, the guidance does not assume any incremental opening of those 7 shuttered facilities. I believe that prior to year-end, we will open up to 2 of those. I think we'll understand that better come July, but I think we will open potentially 2 of the 7 that are shuttered right now before year-end or maybe right at year-end. 
 So maybe not contributing anything to '24, but certainly some rollover into '25. And then we will evaluate -- continue to evaluate the other 5 of 7, and you'll see various openings occur throughout '25 and into '26. I ultimately believe that we will probably open 6 of the 7 that incremental ones that we acquired. 
Bryan Burgmeier: Got it, got it. And last question for me, maybe just for Mary Anne, and apologies if I missed this. Can you remind us what your guidance is assuming right now for recycled commodity prices and RIN prices and then where Waste Connections stood with those items in 1Q? 
Mary Whitney: Sure. So for 1Q, OCC was $130 a ton and RINs averaged $3.10. You did see OCC tick up a little higher over the course of the quarter, and it ended closer to $140. So we always mark to market. So basically, the assumption is they're around current levels. That's what is included in the guidance for Q2. 
Operator: And our next question comes from Toni Kaplan from Morgan Stanley. 
Hilary Lee: This is Hilary Lee on for Toni. Great quarter, congrats. I just wanted to talk about margin a little bit kind of going back to Kevin's question. It looks like with the rest of the year potentially being evenly distributed, could possibly reach 34% by the back half of the year. So just wondering what would need to happen for you guys to get to that threshold. Or what could hold you back? 
Mary Whitney: Well, First of all, I'd say in the guidance we gave for the full year, we acknowledged that in Q3, the seasonally strongest quarter, we would be approaching those levels. Because if you just put 120 basis points on top of each of the 4 quarters, I think that brought you up to 33.7%, right? 
 So basically, we've said we've outperformed. As I noted, some of that's commodities, some of it is the underlying business and some is acquisition contribution. So those 3 variables, I would say, will dictate the extent to which we get to that level or somewhere around there. 
 But I don't disagree with your setup. And if -- again, if things play out in subsequent quarters the way they did in Q1, meaning the outperformance we saw from all of those various drivers, that certainly is in striking distance. 
Hilary Lee: Got it. And because the 34% is well within sight, I guess, do you guys have another target in mind? Or anything that you guys are kind of reaching towards after that? I know it might be a little early to comment on that, though. 
Mary Whitney: Well, we never meant for 34% to be a limiting factor. It was just almost more conversational because we've certainly been there before. But as you may recall, or some folks on the call may recall, we said that before we had closed the SECURE transaction and we said that SECURE would be about 50 basis points accretive to overall margins. And so I think that tells you we already have our head set well north of 34%. 
Ronald Mittelstaedt: And I would also say, Hilary, that remember, that does not include $200 million of EBITDA from proposed and planned RNG facility openings in '26 or contribution that we've said. So it also did not include that. 
Hilary Lee: Great. And just lastly, I just want to know if you guys have an update regarding the New York City franchise process. Anything going on there? Any updates? 
Ronald Mittelstaedt: No real updates. Everything is moving incrementally forward positive. We start September 4th, or whatever the day is, right after Labor Day, that Tuesday is the first operating day of the beta pilot for several of the zones that the city is going to run for 90 days, basically till almost year-end. 
 I would tell you the other update is the city asked us a while back to demo some electric vehicles, and we have taken delivery of some of those in the month of April and have begun operating those for the city to see how that works performance-wise in all areas. So I mean, these are less -- little anecdotal updates, but those are really the updates right now. 
Operator: Our next question comes from Jerry Revich from Goldman Sachs. 
Adam Bubes: This is Adam on for Jerry today. Really strong M&A activity to date. I was just hoping to better understand the makeup of solid waste acquisitions year-to-date. So I think you referenced the acquisitions included a new market entry in Indiana, Michigan. Was that one deal or multiple deals? And how large of the $150 million did that represent? Just trying to understand that makeup a little bit better. 
Ronald Mittelstaedt: Sure. Yes. Adam. So the transaction we acquired was a company out of Elkhart, Indiana, which is in North Indiana, approaching the Southern Michigan border, named Waste-Away, a phenomenal nearing third-generation company, really very, very well known in our industry, phenomenal family ownership that was retiring, had an incredible management team in place that we have taken with us. 
 And that represented more than half of the total revenue of that incremental $150 million that we reported. A large acquisition by any stretch, and certainly in our platform, about 300 employees out of 3 locations. And I would tell you that -- and we closed that obviously in the quarter. I would tell you that we are already in the process of closing our first acquisition in that area as well in the middle of Q2. 
Adam Bubes: Great. I appreciate the color. And then you folks have achieved a really strong improvement in employee retention and turnover over the last 4 quarters or so. Can you just update us on where we are in seeing the benefits of lower turnover flow through the cost structure given there's a lag there? 
Mary Whitney: Sure. So what we've talked about is that there's an incremental 100 basis points associated with improvement in several different line items. And as I mentioned, earlier, we're starting to see those, for instance, on overtime and some of our third-party costs like subcontracting business. 
 And so if I were to think about it in terms of that 100 in the aggregate, I'd say we're down at that maybe in the 10 to 20 basis points of the improvement is what we've started to see. Of course, we know that there are pieces of it that will lag even longer, most notably the cost of risk, which as we've described it, you can bring down your incidence in the current period, but you're still paying for incidence in prior periods. And so we're not surprised but that certainly continues to be a headwind rather than a tailwind and anticipate that, that takes multiple periods to start being recognized. 
Operator: You next question comes from Tony Bancroft from GAMCO Investors. 
Tony Bancroft: Congratulations, Ron and team, on the great quarter. Maybe more of a long-term question. You made the large acquisition with the SECURE Energy. I know that you look for into additional solid waste is sort of where you're focused, but any other opportunities there? Or maybe even longer term, there's these large regionals that they've always talked about. Is there ever going to be opportunity to do something more transformational there? Or how to -- or maybe even on the municipal side, have you seen anything incremental with maybe higher cost to towns and municipalities transfer those to private operators? 
Ronald Mittelstaedt: Well, so let's break that apart a little bit. So on the SECURE side, as you know, we had been in the E&P business strongly since 2012 in the U.S., mostly on the drilling side. The beauty of the SECURE transaction was about the exact same size as what we had in the U.S., but it was completely inverse. It was 85% production. And so we like that balance, and we like the size that the combination of those are. 
 And as we continue to grow our core solid waste, that will become a smaller percentage just naturally in the company. However, having said that, we have some incremental opportunities, we believe, in that space. They're smaller, but they're nice and they're additive. And we'll continue to pursue those as we have over the last many years in the U.S. 
 Now we have the Canadian market to look at for this space as well. As far as anything transformational, Tony. I mean, look, I guess you would -- you never say never because then you regret it if you do something. But it's as close to never as I think I can come in saying. 
 Look, we are a core solid waste company. That's what we are, and that's what we want to be. That's our competency. And we've got a lot of runway in that space. We know it well, and I think we know how to perform fairly well in it. And that's going to be what we do for the indefinite and sustaining future. 
 We'll look at things. And certainly, if regulation or something drives local governments to look to exit certain things and those are good assets, absolutely, we'll entertain that. This is a business, as I said, we know well. 
 But we're not looking to pivot into something differential due to lack of opportunity in our core business. It would only be because we thought it had similar characteristics in terms of financial performance and defensibility and a growth opportunity. And if we saw that, we'd take a hard look at it. 
Operator: Our next question comes from Tobey Sommer from Truist Securities. 
Jack Wilson: This is Jack Wilson on for Tobey. Can we maybe dig into those weather headwinds you're seeing and sort of what distinguish those from normal seasonal weather patterns? 
Ronald Mittelstaedt: Sure. I'll start and let -- so look, weather is nothing new, it occurs every year, whether we like it or not. It occurs most harshly in the first quarter, of course, here in North America. But we had in January in both the West Coast and parts of the -- what we call the mid-South and the Southeast a very extreme weather and particularly, very high, very low frigid temperatures that shut down our ability to run. 
 We had markets that we could not operate in for 1 to 2 weeks at all. Facilities completely shuttered, employees home, and nobody could run because the Department of Transportation within those states and areas such as Oregon is a great example, disallowed transportation. That was not deemed something safety fire or police or other. That is abnormal, okay? 
 We can handle cold weather. We can handle snow. But when we're told by authorities that we're not to be on the road, that's not something we violate. 
 Alaska, we're the largest player in Alaska. And if you would think anywhere is used to significant weather, it's Alaska. And we had over 60 inches of snow in a 5-day period in Alaska, shut down Alaska for 12 days that we could not run. So those are examples of what we're referring to that the weather was prohibitive in that it just closed geographic areas. 
Jack Wilson: Okay. And then just one quick follow-up. If you do achieve that 1/3 of sort of in-house upskilled role fills, is it possible to quantify sort of the margin impact that might have? 
Ronald Mittelstaedt: No. I would say no. The answer is I don't think it is. What I would say is it's part of how we believe there's 100 basis points plus, as we've said, in incremental margin improvement from these employee initiatives. 
 And then I think there's just things that are too difficult to quantify in your consistency of your service quality, your ability to price and retain more price, your ability to pursue event jobs because you're fully staffed that right now you can't pursue, there's just a lot of those kinds of things. And just the ability to have a stronger overall company because a balance in everybody's life. So what that exact margin impact is, we would only be guessing right now. 
Operator: And our final question today comes from James Schumm from TD Cowen. 
James Schumm: Nice quarter. Could you give an update on the Chiquita Canyon landfill? How are expenses tracking relative to your expectations? And do you expect to have to revise cost estimates higher, perhaps due to relocation or other ancillary charges? 
Ronald Mittelstaedt: Yes. So I would tell you that Chiquita is tracking about where we would think at this point, it may be a little ahead, but that's actually a good thing in a way because it means we're perhaps making more headway a little faster than we had planned. 
 We don't believe right now that there -- that are -- that what we presented and accrued in terms of the $160 million is going to change or change significantly. What we do, just so you're aware, and this is not something, new. We've done it every year for 26 years, is once a year, we review our closure and post-closure accruals based on engineering estimates. 
 And as we have told you, this is a closure cost to our Chiquita landfill because it's in a closed section of the landfill. So we will review that cost once a year. And if there are changes to it, we  will make them. If they're material, we'll communicate them. We don't expect they would be material. 
 So -- and that is not anything different than we do at every one of our landfills and have for 26 years. So it's a larger, more public issue that is more well known because of everything surrounding Southern California and this type of an event. But Chiquita is tracking about where we thought it would be at this point in time. 
James Schumm: Okay. Great. And I recognize that we're only a few weeks into April, but wanted to know how Q2 is tracking relative to normal seasonal expectations thus far. Is there any color you can provide there? 
Mary Whitney: As we said, the way we've guided, asserts that sort of normal seasonal ramp and probably too early to say, but nothing that suggest it's outside of anything extraordinary. It certainly hasn't been weather or anything else that would cause us to change our thinking on the quarter. But we'll look forward to letting you see how the quarter plays out. 
Operator: And ladies and gentlemen, with that, we'll conclude today's question-and-answer session. I'd like to now turn the floor back over to Ron Mittelstaedt for any closing remarks. 
Ronald Mittelstaedt: Okay. Well, if there are no further questions, on behalf of our entire management team, we appreciate your listening to and interest in the call today. Mary Ann and Joe Box are available today to answer any direct questions that we did not cover that we are allowed to answer under Regulation FD, Regulation G and applicable securities laws in Canada. 
 Thank you again. We look forward to connecting with you at WasteExpo, upcoming investor conferences or on our next earnings call. 
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.